Operator: Hello, everyone, and welcome to Bladex First Quarter 2015 Conference Call on today, the 17th of April, 2015. This call is being recorded and is for investors and analysts only. If you are a member of the media, you are invited to listen only. Bladex has prepared a PowerPoint presentation to accompany their discussion. It is available through the webcast and on the bank's corporate website at www.bladex.com.
 Joining us today are Mr. Rubens Amaral, Chief Executive Officer of Bladex; and Mr. Christopher Schech, Chief Financial Officer. Their comments will be based on the earnings release, which was issued yesterday. A copy of the long version is available on the corporate website.
 Any comments made by the executive officers today may include forward-looking statements. These are defined by the Private Securities Litigation Reform Act of 1995. They are based on information and data that is currently available. However, the actual performance may differ due to various factors, which are cited in the Safe Harbor statement in the press release.
 And with that, I am pleased to turn the call over to Mr. Rubens Amaral for his presentation. 
Rubens Amaral: Thank you, Josh. Good morning, everyone, and thanks for joining us today for the first quarter 2015 earnings call. Yesterday, we reported results of our financial performance in the first quarter of 2015. In our review, the results confirm the solidity of our core business in spite of a more challenging economic environment, as already highlighted in our previous call.
 The economic growth in the region has started more subdued this year as already expected. On top of that, the reduction in oil prices to low level of commodity prices has limited the growth of our loan book, albeit we had acceptable and sustainable demand levels from our clients.
 In my remarks in the press release, I commented that's not uncommon for us to experience such a slower first quarter. We had also informed in previous calls that reduction in oil prices and commodity prices could potentially have a negative impact in our origination capacity. Therefore, this scenario of a slight reduction on loan book had already been considered in our planning process. And so, even with that scenario turning out to be the actual case in this quarter, we reaffirm our base case field of expected fourth quarter growth of around 8% to 10% in 2015.
 On the other hand, let me highlight that we constantly monitor economic and business environment with the purpose of identifying any potential negative impact in our credit portfolio. I'm sure you all understand that from time to time it is inevitable that we are confronted with more challenging credits. In the first quarter, 2 transactions were transferred to the nonaccrual status, requiring a slight, I repeat, a slight increase in our specific reserves. These transactions are well secured, and the negotiations so far indicate a viable solution for the companies in the medium term. Thus, based on what we know, we are not anticipating any further deterioration in our credit portfolio.
 On the origination side, our pipeline of new business transactions looks solid, both in traditional Trade Finance and lending as well as the more structured transactions in our Syndications Platform. This should bode well for accelerated fee income generation. The current lease of potential transactions has never been greater in this business line.
 To provide you with an idea, we currently have 5 new transactions in the final stages of securing a mandate, and we are well advanced in the negotiations with clients to move forward with 6 more transactions. Christopher will guide you through our presentation, providing more details about the quarterly results, but before that, I'd like to make a few comments about the recent Summit of the Americas that was held in Panama last week.
 I attended the CEO Summit of the Americas, which took place 2 days before the meeting of the Presidents of the Americas. The format of the event allowed for an important interaction between the business community and the presidents of several countries. Allow me to briefly summarize the key takeaways. First, the United States reaffirmed their commitment to Latin America; second, the regional integration and investments in infrastructure are the hot topics in the agendas of the different presidents; third, a consensus about the need for a greater transparency in the public finances; and lastly, a commitment towards indication A and a renewed effort in terms of looking for ways force innovation throughout the region.
 Although there was not a final document emerging from the Summit, there was the clearer understanding about what the objectives are. So let me highlight that from the standpoint of Latin America, and particularly from the Bladex business perspective, all of this is good news as our focus on supporting the regional expansion of the moot [ph] Latina companies and banks along with the growth of interregional trade flows fits right in. Nevertheless, I don't want to sound too optimistic as we are well aware of the challenge ahead of us in 2015, which I would cite, for instance, the divergent asset growth in the region, the more difficult environment for shipping lines in commodity sectors, the global economic scenario with the possibility of increasing interest rates, among others. Bladex will continue to focus on the opportunities across the region while being very selective about the types of transactions and deals we engage in doing. We have remain committed, as expressed before, to increase steadily our net interest margin as well as our fee income.
 As you know also, our board has approved a dividend of USD 0.385 for the first quarter of 2015, confirming 2 things: first, the solidity of our results; and the commitment of the board of sharing with our shareholders the positive results of the bank.
 Lastly, let me comment that yesterday, as you also know well, we had our Annual Shareholders Assembly. I'd like to thank all of you for your continued support of Bladex, and particularly express on the name of our Chairman and my personal name, our gratitude for your confidence in us to continue to manage the organization for another term of 3 years. Thank you very much.
 I will now turn it over to Christopher to guide you through our presentation. Thank you, again. Christopher, please. 
Christopher Schech: Thanks. Thank you, Rubens. Hello, and good morning, everyone. Thank you for joining us on this call today. So as usual, in discussing our first quarter results, I will focus on the main aspects that have impacted our results, and I will make reference to the earnings call presentation that we have uploaded to our website, together with the earnings release, and that is being webcast as we speak.
 So before we go into more detail, let's start on Pages 4 and 5 with a quick rundown of the key financial highlights and drivers that shaped this quarter. For the first quarter 2015, shows with net income for Bladex shareholders of $28.8 million compared to $36.1 million in the previous quarter and compared to $23.5 million in the first quarter of 2014.
 In order to accurately present performance in our recurring business activities, we focus on what we label business net income, which is recurring net income derived from our principal business activities of financial intermediation which generate net interest, commission and fee income. We also refer to it as core income or income from core activities. And this business income reached $26.4 million in the first quarter, up 10% compared to first quarter of 2014 on the rise of net interest income from higher average portfolio balances.
 Business net income was down 40% from $30.5 million in the fourth quarter of 2014, mainly due to lower net interest income brought about by a slightly lower average commercial rebalances and lower higher -- and lower fee income from our structuring and syndication activities, which [indiscernible] recorded closed [ph] transactions this quarter despite the very robust transaction pipeline.
 Also, in net interest margin, it was 5 basis points above the levels seen in the first quarter of a year ago, that's dropped 8 basis points below the previous quarter levels. And in similar fashion, the quarter's net interest spread, which represents the difference between average interest rates earned versus average rates paid, grow 6% -- or 6 basis points year-on-year and dropped 8 basis points quarter-on-quarter.
 This quarter, we continue to closely monitor the asset quality of our exposures in a couple of industry sectors, as mentioned earlier by Rubens. Every strength at [ph] reserves to the extent needed without any significant impact in the provision line.
 Business return on assets and return on equity metrics dropped quarter-on-quarter but increased year-on-year because of the volume margins and spread drivers I just cited. 
 Business efficiency ratio was 33% in the first quarter of 2015, 1 point above the previous quarter but improved year-on-year at 2 points below prior year levels.
 Last quarter, we made the move to report in Tier 1 Basel III numbers, and that Basel III ratio of their capitalization stood at 16.4% at the end of the first quarter of 2015, that is up from 15.6% in the previous quarter, and is still slightly above the Basel I levels, which we continue to report temporarily for the sake of period-comparison purposes.
 Last but not least, for the announcement that came out early yesterday, the Board of Directors approved a dividend payment for the first quarter of $0.385 a share, which has an attractive dividend yield component to our total shareholder value of proposition.
 So now let's look into the quarterly numbers a little bit in more detail, moving to the next slide, Page 6. It shows the evolution of net income compared to previous quarter and compared to the first quarter of 2014. Year-on-year, quarterly net income was up some 23% compared to the first quarter of 2014. Net interest income was a significant driver for that on higher average portfolio balances and higher net interest spread and net interest margin. Other income, mainly from the participation in the investment funds, were also a driver of net income growth. On the other hand, fee income dropped year-on-year based on the very limited structuring fee income this quarter. The minor change in provision for loan losses was offset by a small year-on-year decrease in operating expenses, mainly from lower professional fees.
 Moving to the quarter-on-quarter comparison, we [indiscernible] that we see net interest income dropping compared to the fourth quarter 2014 on account of lower average loan portfolio balances and lower net margins. Fee income submission, interim [ph] dropped as well compared to the fourth quarter where we saw a record number of deal closings compared to -- based on the synergies this quarter.
 Noncore income, which mainly represents the participation in the investment funds, was down a bit compared to the fourth quarter performance while operating expenses were also down, mainly due to seasonal factors [ph] recorded in the fourth quarter of 2014.
 On Page 7, we take another look at net interest income and margins. Both were down quarter-on-quarter but were up year-on-year, which, in our view, provides a reasonable base of gradual improvement of the remainder of the year, subject, as always, of course, to economic developments in the region and in global capital markets. Year-on-year, interest income and margin levels were up on a greater business scale, stable lending rates and improved funding costs.
 Sequentially, variance in net interest margin was a combination of lower lending rates from keeping credit quality and stability over volume and a mix shift in the funding structure as average deposit balances were lower during the quarter, peaking [ph] up, however, towards the end of the quarter.
 On Page 8, we highlight the average portfolio balances, growth and segmentation. Year-on-year, the corporate finance segments -- segment has grown significantly, underlying the secular trend we have seen at the bank's older [ph] profile over the last several years. Quarter-on-quarter, lending to financial institutions [indiscernible] of the momentum towards higher-quality proportions [ph] we saw last quarter [ph] lending [indiscernible] decrease.
 On Page 9, we present breakdowns of our commercial portfolio balances by country on the left; and by industry sector on the right. Changes versus the previous quarter have been minor as we gradually trim exposures in certain countries and industry segments while we grow in others. We continue being a short-tenor lender, focused on Trade Finance. These core elements, combined with our broad diversification profile, allow us to be very agile and effective in reacting to any changes in the operating environment.
 This leads me to Page 10 to show the evolution of credit quality and reserved parameters. We monitor our exposures in countries, sectors and clients, and this quarter, we had to make only minor adjustments to our reserved levels with minimal net impact on the provision line. As a consequence of these small specific reserves, the nonaccrual portfolio increased disproportionately to still very modest levels, at 0.3% of total portfolio balances.
 Moving on to Page 11, a quick glance at op expenses and efficiency levels. Operating expenses saw a decline versus prior quarter levels, returning to a more normalized run rate. The efficiency ratio was, nevertheless, a bit higher this quarter on account of lower revenues. These comments apply also to the business efficiency ratio, which looks at our recurring base of expenses and revenues and excludes noncore revenues and expenses.
 Moving on to Page 12, we show our fee income evolution. We came from a fourth quarter 2014 that saw record activity and amounting to the intermediation and syndications business. And despite the fact that this quarter we had no closed transactions and very limited secondary market activity, we still feel good about our prospects for the remainder of the year. Our pipeline, as Rubens mentioned, looks promising, indeed, and some of the transactions are in advanced stages of progress as we speak. On the letters of credit side, we are seeing increased diversification of the sources for that business, which we believe is necessary in order to provide a sustainable flow of business in the current environment of elevated market volatility.
 On Page 13, we make reference to our noncore income, essentially spending [ph] from the remaining passive investment in the investment funds, formerly owned by Bladex. Fund performance is up year-on-year, which is a good thing, of course, and quarter-on-quarter -- again, we came up at quarter -- a great fourth quarter, and so first quarter results were slightly below that. We are pleased to see them continue generating positive returns. But in line with our strategy to focus our efforts on strengthening our core competences, we continue to work towards our exit from this participation and, therefore, made another redemption this quarter.
 On Page 14, we highlight return on average equity and capitalization trends. In terms on -- of year-on-year trend, the return on average equity continues to be on trend. Capitalization levels remain strong, as mentioned before as the quarter-end Tier 1 Basel III ratio stood at 16.4%.
 And finally, on Page 15, we highlight our focus on total shareholder return. We, of course, are pleased to see the stock price and liquidity of Bladex shares heading in the right direction. In support of that trend, which we think is a function of a gradual but consistent [indiscernible] performance, the Board of Directors, again, authorized a quarterly dividend payment of $0.385 a share.
 And with that, I'd like to hand it back to Rubens for Q&A. Thank you. 
Rubens Amaral: Thank you, Chris. Ladies and gentlemen, we are ready for your questions. 
Operator: [Operator Instructions] And our first question comes from Tito Labarta from Deutsche Bank. 
Tito Labarta: My question is in terms of asset quality. Since we did see some deterioration, though it's small percentage of the portfolio, but just want to get a sense how you see this evolving with the credits that became nonperforming. Could also mention whether these are related at all to the oil and gas sector? Or do you see any concerns there just given the lower oil prices? And then on the back of that, we did see provisions were pretty low because you had some provision reversals, but given that looks like some deterioration in asset quality, do you think that would be sustainable going forward? Do you think provisions will need to increase going forward? So if you can give some more color on that would be helpful. 
Christopher Schech: Thank you, Tito, very much. I'm glad to talk to you again. And let me address first that we didn't have any deterioration in our portfolio when it relates to the oil and gas industry. The portfolio in this segment, as we disclosed in the last call, it's comprised of exposure to different segments, in downstream, upstream and integrated. And the only one that has a little more challenge is the upstream, but we have very solid credits in that type of portfolio. In terms of the deterioration activity we had in our portfolio this year, it's more related to commodities and specifically to the sugar industry where we have a more challenged environment for the sugar mills with high inventories and very low prices of sugar. Some companies that were a little more leveraged in terms of investing, let's say, in cogeneration for energy had to confront some more challenging situations. So as I mentioned in my initial remarks, we are well advanced in the negotiation with the companies. We have good guarantees, so we don't see a major problem there. Although, as you know very well, it takes time to resolve. But the medium-term prospects are very positive. In terms of provisions, what you have seen, overall, it was a slight increase in our provisions by $300,000. There was a movement between the loans and the off-balance sheet provisions because we increased our activity with letters of credit. So that's why you see an increase there and a reduction in the loans because the loan book has reduced. Overall, the levels of provision that we see in our books, we're very comfortable with according to the types of credits we have and the tenor-ed credits that we have as well. So you see the movement of provisions moving forward according to the range of growth of our loan book. 
Tito Labarta: Okay, great. That's very helpful. So is it, say, safe to assume you feel comfortable with that quality? And when some of the issues you said in the medium-term prospects are pretty positive, so do you think you can see some improvement there? Or could there be some more deterioration in the short term? 
Christopher Schech: No, in the short term, we didn't see more deterioration. We -- we're comfortable. As I told you, and it is something that we did constantly, we have credit reviews. And we review the different sectors and how we are faring in terms of the exposures we have in these different sectors. And what we see gives us the tranquility to tell you that we don't see any major problems. And just another comment I'd like to make. We had also in the first quarter a recovery of $600,000 of a note credit we had in Argentina. It's standing from the crisis in 2001, $600,000. So that's one of the reasons also you saw and we take on provisions on top of the reduction of the portfolio. 
Tito Labarta: Great. That's very helpful. I got maybe just one more question, if I may, because you did see the long portfolio, I guess, in Brazil and also in Peru decline in the quarter. I mean, I guess Brazil is kind of understandable. I know growth in Peru has also been probably a bit lower than expected. But is this just in terms of really being cautious, I guess, particularly in Brazil and not lending much there, and if you can give some more color why we saw the decline in Peru. 
Rubens Amaral: Well, as you know, Tito, we have very short-term exposure in the different countries. 74% of our portfolio continues to be short term. So -- and the first quarter, it is, by definition, the slower quarter that we have every year. So what you see, it's basically the seasonality that happened in Peru. Brazil we're being much more careful, as you alluded to. But there are still interesting opportunities in Brazil that eventually we could benefit in this market environment. That, as I told as well, we will be very selective, so don't see any major problem. Peru, it seems to be seasonality. And Brazil, we'll continue to monitor closely and see how we can benefit the business opportunities we might have there. 
Operator: [Operator Instructions] Our next question comes from Chris Delgado from JPMorgan. 
Christopher Delgado: I just had one quick question with regards to your net interest margin. You found some compression there, and you mentioned in the release that it related somewhat to competition. Can you talk a little bit about the regions that you're seeing increased competition and the types of companies that have basically increased their expectations on pricing? 
Rubens Amaral: I'll try to respond. If I -- again, respond because the question was -- the communication was a little garbled. I understand that your question is about competition and increasing competition in our portfolio. What I can tell you, basically, is that one thing that we see when we have downturns and more challenging economic environment, naturally, companies and banks tend to focus on more individual [ph] credits. So as Bladex has always been a bank that focuses on good quality credits, in situations like this, competition, by definition, increases. And that leads to an impact in our net interest margin, as you alluded to. On top of that, because the first quarter was a quarter that we had more short-term transactions, then naturally, you had an order impact on our net interest margin, net interest spread. So it is a combination of more focusing on effect of quality, if you will, in terms of good credits by the banks that increase in competition; and second, a focus on the short term of the curve where we had more demand because this first quarter, several of our clients -- that's why we see our pipeline looks solid because several of our clients told us that they are postponing their investments for the second quarter to have a better understanding how the economy in the different countries will behave. So that's why you see the effect on the net interest margin. Then, and definitely, the terms of the funding books that you asked to, we continue to diversify our funding. We're looking to eventually go back and do some more real-time research in the market as we did in last year and think it's a very good moment for us to consider improving our funding. We're not losing any type of funding as to opposite banks are very eager to fund the bank, but we're focusing much more on the more structural type of funding. In terms of growing products placements, we have increased quite a bit our product placements recently and extending the tenor of the funding and take advantage, of course, of this availability of liquidity to manage the funding costs down with our traditional provider/funders [ph], the banks. 
Operator: [Operator Instructions] Our next question comes from Jeremy Hellman from Singular Research. 
Jeremy Hellman: Just -- I wanted to ask you something I haven't asked about in a long time, but wanted to go back to what your kind of delta is to rising interest rates. Across your loan book, I guess, the larger question is, how much of the book is of a variable nature. And so maybe a way to quantify it, if rates -- U.S. base rates went up by 1%, what's kind of the delta to your earnings? 
Christopher Schech: Jeremy, if you allow me, I'd like to take that question. Yes, the vast maturity might be 8% ahead of local payment. The exact percentage for the very, very large portion of our book of business is, of course, variable. And so any increases in base rates would be passed on almost automatically as the court hour [ph] lending rates on a LIBOR basis, and we fund ourselves on a LIBOR basis as well. Even in those instances where we have funding, it's going to book bonds, which are fixed rate. We sort that back immediately into floating, and so we don't really have much of an impact in terms of the repricing risk. And at the end of the day, if you consider that there's always an equity portion underlying our lending towards our clients, which does not carry an interest expense element, a rise -- a gradual rise in the interest rates would actually benefit our bank, as it would be case for any other bank as well. So from that perspective, what's pretty cool to us is the repricing cycle, which, in our case, is extremely short, less than 2 months in our -- based on our internal cap analysis. And so we -- actually, we've been hoping for a slight rise in interest rates for the last several years. It's not happened so far. We don't bet on it happening this year either. But as and when it happens, we would stand to benefit. 
Operator: [Operator Instructions] And at this time, we have no further questions waiting to be answered. I'd now like to turn the call back over to Mr. Rubens Amaral for closing remarks. 
Rubens Amaral: Thank you, again, Josh. Thank you, everyone, for your attention today. It is very challenging environment, as we discussed, but we are very confident that we are well positioned to benefit from the marketing damages we might see forward. So I'm looking forward to talking to you on our next earnings call for the second quarter 2015. Have a great day, everyone. Thank you. 
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may now disconnect.